Operator: Good afternoon. My name is Jay, and I will be your conference operator today. At this time I would like to welcome everyone to the Paycom Q3 2016 Earnings Conference Call. [Operator Instructions] Mr. Craig Boelte, you may begin your conference.
Craig Boelte: Thank you and good afternoon. Before we get started, I would like to note that certain statements made during this conference call that are not historical facts including those regarding our future plans, objectives and expected performance are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements represent our outlook only as of the date of this conference call. While we believe any forward-looking statements we have made are reasonable, actual results could differ materially because of statements are based on our current expectations and are subject to risks and uncertainties. These risks and uncertainties are discussed in our filings with the Securities and Exchange Commission including our quarterly report on Form 10-Q for the quarter ended June 30, 2016 and our Annual Report on Form 10-K for the year ended December 31, 2015. You should refer to and consider these factors when relying on such forward-looking information. Any forward-looking statements speaks only as of the date on which it is made and we do not undertake and expressly disclaim any obligation to update or alter our forward-looking statements whether as a result of new information, future events or otherwise except as required by applicable law. Also during the course of today's call we will refer to certain non-GAAP financial measures. A reconciliation schedule showing GAAP versus non-GAAP results is included in the press release that we issued after the close of the market today which is available on our Web site at investors.paycom.com. I will now turn the call over to Chad Richison, Paycom's President and Chief Executive Officer.
Chad Richison: Thanks Craig. The third quarter marked yet another success for our organization as we grew revenue, added new clients across the country and further extended our product development. The Paycom solution continues to gain traction in a wide range of industries. Revenue of $77.3 million represented growth of 40% over the comparable prior-year period. Our profitable cash generative business model continues to deliver results with third quarter 2016 adjusted EBITDA of $18.2 million as compared to $10.8 million in the third quarter of 2015. In addition to our business success in the third quarter, we continue to drive value for our stockholders. And financing our repurchase plan on May 26, 2016 we have repurchased over 525,000 shares within the last five months. Our unified single database payroll and human capital management or HCM solution is designed to help companies and their employees realize their full potential. With our solution, companies can become more efficient and strategic allowing them to spin their valuable time focusing on the business rather than navigating the ever-changing tax code and HR regulations. Within our target market segment of core midmarket and upper midmarket, we believe that our value proposition is increasing. Companies in this segment typically choose not to deploy the resources necessary to manage and continually integrate multiple vendors and products to meet all of their HCM needs. At the same time they're becoming increasingly aware that it is vital to use technology to attract, train, retain and manage their employees in order to remain competitive. We believe that adoption of our solution will continue to be driven by the trend of growing technology sophistication among the C-Suite and HR Executives and also the increasing complexity of tax codes in HR regulation. At Paycom we are experts in navigating this complexity and this capability is core to our value proposition. What makes our solution even more attractive is the accurate and reliable data that the Paycom solution delivers as a result of our foresight to build our solution on the foundation of a single database. Our single database foundation not only provides precise actionable data but also allows us to comprehensively enhance our offering with those features we believe will best help our clients. A great example of our ability to develop and deploy crucial functionality that can have an immediate and significant impact is our Fair Labor Standards Act or FLSA toolkit. In August we introduced the FLSA toolkit as a preemptive response to the new Department of Labor rules regarding overtime pay that will go into effect on December 1. We believe that this change will have a broad impact on the many companies as it provides certain employees whose annual salaries are less than $47,476 are eligible for overtime pay. We believe that our FLSA toolkit is the best option for company seeking to minimize both the impact of increased compensation cost and the cultural challenges that may arise in the workforce and the compensation gap between entry-level and senior employees becomes compressed as a result of the new rule. The rule will potentially have a much broader financial impact to companies than the Affordable Care Act or ACA. The ACA call for employers to prove they were offering affordable healthcare coverage to their employees. For most companies in our target segment, the impact of ACA was primarily a data management compliance and reporting issue since companies with 100 employees or greater were typically already offering affordable healthcare to their workforce. The new FLSA role in contrast will likely change core compensation structures for many companies. While it will probably impact almost every company to some degree, for certain industries it may have a dramatic impact on the bottom line. For example, companies with salaried managers who work long hours and make a salary below the $47,000 threshold or companies that have workers who received a significant portion of their compensation in a form of bonuses and commissions could be substantially impacted. In our view this rule change will require CFOs and CEOs to take a very strategic approach to minimizing cost while achieving compliance. I will emphasize that we do not anticipate a large impact to our revenue from our FLSA toolkit since it is included within our government and compliance module. However, we do see the new FLSA rule as an extremely effective conversation starter for our sales representatives seeking to engage with prospective clients. Our by monthly webinars on this topic are the most popular webinars we've had to-date indicating that awareness of this potential issue among the executive is likely trending at least as strong as it was for the ACA. I'd like to note that an important part of our development process is derived from feedback from our sales and service organizations. We have strong and open lines of communication between our sales service and development groups. This creates a positive feedback loop whereby our R&D organization receives direct feedback from our sales team regarding real-time customer needs and then is able to develop features and products based on this information. This in turn - are our sales force to go to market with the best solution that can drive customer success. Our FLSA toolkit is a great example of this. This entertain communication is just one example of the cohesive and energetic culture at Paycom where team members are passionate about doing their jobs well and helping our clients succeed. I believe that our unique culture at Paycom is our most important attribute and that is the foundation has allowed us to grow into one of the largest payroll and HCM providers in the United States. With that I would like to provide some highlights of clients we brought into the Paycom family in the third quarter. First we signed a staffing company with over 2,000 employees. When we first engaged with the company they had been processing their payroll and HCM functions with an antiquated in-house system. This client initially chose one of our largest competitors based on price but in the middle of implementation which the Paycom due to our strong service model and robust functionality. Next we welcomed the media production company with nearly 5000 employees. This company had been using a competing vendor for payroll, as well as separate systems for time and attendance and HR management. Lack of integration among the separate products led to poor analytics. They wanted to partner with a company that allowed them to avoid integration issues and gain actionable intelligence in order to meet the compliance needs of multiple jurisdictions and a diverse employee base. In addition to much of our core product, they are also using our pre-hire background checks on boarding and tax credit application. Finally we welcomed the nonprofit organization with 2500 employees. They were previously using a large competitor in selected Paycom due to our robust and easy to use reporting features, as well as our ability to categorize workers at a granular level down to a specific project or grand. Additionally our GL Concierge tool has proven to be very helpful to this point. Their controllers using this tool that easily allocate funds where needed all before processing payroll. This ability has increased reporting accuracy and helps put this client in a position well suited to pursue opportunities to raise additional funds in the future. To conclude we had a very productive quarter and are optimistic for a strong close to the year. I will now turn the call back over to Craig for an update on our financials and our guidance. Craig?
Craig Boelte: Thanks Chad. Before I review our third quarter results and also our outlook for the fourth quarter and full year 2016, I would like to remind everyone that my comments related to certain financial measures will be on a non-GAAP basis. We use adjusted EBITDA and non-GAAP net income as supplemental measures to review and assess our performance and for planning purpose. Adjusted EBITDA is a non-GAAP financial measure that excludes non-cash stock-based compensation expense and certain transaction expenses that are not core to our operations. Non-GAAP net income is a non-GAAP financial measure that also reflects adjustments for non-cash stock-based compensation expense and certain transaction expenses that are not core to our operations which are further adjusted for the effect of income taxes. A reconciliation of the GAAP to non-GAAP measures discussed today is included in our press release. We experienced a strong third quarter with total revenues of $77.3 million representing year-over-year growth of 40% from the comparable prior-year period. As a reminder during the third quarter of 2016 we anniversaried the initial ACA related revenues that we experienced in the third quarter of 2015. Within total revenues recurring revenue was $75.9 million for the third quarter of 2016 representing 98% of total revenues for the quarter and growing 40% from the comparable prior-year period. Total adjusted gross profit for the third quarter was $63.9 million representing an adjusted gross margin of 83%. For the full fiscal year 2016, we anticipate adjusted gross margin will be within a range of 83% to 84%. Total adjusted administrative expenses were $49.1 million for the quarter as compared to $38.3 million in the third quarter of 2015. Adjusted sales and marketing expense for the third quarter of 2016 was $27.6 million. Adjusted R&D expense was $5.7 million in the third quarter of 2016 representing growth of over 158% over the comparable prior-year period. As part of our initiative to maintain our world class solution, we have continued to invest in R&D. As a reminder, a portion of our R&D expense is capitalized. Our total adjusted R&D costs for the third quarter of 2016 including the capitalized portion was $7.6 million or 9.8% of total revenue. Total adjusted R&D costs for the nine months ended September 30, 2016 including the capitalized portion were $18.8 million or 7.8% of total revenues. As everyone may note this is a significant increase from past years. Adjusted EBITDA was $18.2 million or 23.5% of total revenue in the third quarter of 2016 compared to $10.8 million 19.5% of total revenues in the third quarter of 2015. Our strong adjusted EBITDA performance was driven in part by sales outperformance and also achievement of the cost efficiencies across our organization. Additionally we are pleased to announce that we are updating our long-term adjusted EBITDA margin target to 30% to 33% and we are able to target this level while still enjoying robust growth and also making substantial investments in R&D underscores the strength of our business model. Our GAAP net income for the third quarter was $6.2 million. During the third quarter of 2016 we adopted accounting standard update 2016-09 or ASU 2016-09 which simplify the accounting for certain aspects of share-based payments to employees. We recognized a discrete benefit to income tax expense of $6.8 million for excess tax benefits due to the vesting of certain share-based payment awards for the three and nine months ended September 30, 2016. As a result our effective income tax rate decreased to 20.87% for the nine months ended September 30, 2016. Non-GAAP net income for the third quarter of 2016 was $9 million or $0.15 per diluted share based on approximately 59 million shares versus $4.7 million or $0.08 per diluted share based on approximately 58.4 million shares a year ago. ASU 2016-09 had no impact on non-GAAP net income or non-GAAP earnings per share. As Chad mentioned we remain focused on returning value to our stockholders. We repurchased 402,626 shares during the third quarter under our $50 million stock repurchase plan. As of today we have repurchased 525,040 shares under our stock repurchase plan. Turning to the balance sheet. We ended the quarter with cash and cash equivalents of 74.5 million and debt of $30.1 million. As a reminder this debt represents the financing of construction at our corporate headquarters. Construction of our fourth building is commenced and is proceeding well. Cash from operations was $19.9 million for the third quarter reflecting our strong revenue performance and the profitability of our business model. With that let me turn to guidance for the fourth quarter and for fiscal 2016. For the fourth quarter of 2016 we expect total revenues in the range of $85 million to $87 million representing a growth rate over the comparable prior period of approximately 32% at the midpoint of the range. As a reminder we will be anniversarying our ACA related revenues that we experienced in the fourth quarter of 2015, as well as the Pull Forward of starts that we mentioned in the fourth quarter of 2015 related to declines that began early in order to gain ACA compliance that normally would have started in the first quarter of 2016. We expect adjusted EBITDA for the fourth quarter in the range of $14 million to $16 million representing an adjusted EBITDA margin of approximately 17% at the midpoint of the range. For fiscal 2016 we are increasing our revenue guidance to a range of $326.5 million to $328.5 million while approximately 46% year-over-year growth at the midpoint of the range. We are also increasing our full year adjusted EBITDA guidance for fiscal 2016 to a range of $88 million to $90 million representing an adjusted EBITDA margin of approximately 27% at the midpoint of the range. With that, we will open the line for questions. Operator?
Operator: [Operator Instructions] Our first question comes from John DiFucci with Jefferies. Your line is open.
John DiFucci: Thank you. Craig you said that the third quarter anniversary, the benefit of the ACA - the ACA benefit from last year. But you never really quantified that last year. I mean - I think you and Chad had talked about some very minor revenue contribution. But we know the third quarter was really strong last year. Was there any - have you ever quantified any pull-forward vis-à-vis like you did for the fourth quarter - for the third quarter of last year. Is there some way we can start to think about that? I guess that’s the question.
Chad Richison: Yes John, this is Chad. Third quarter of last year was actually the very first quarter that we started began bailing for ACA. We did call out a number in the third quarter of last year of how much that represented - not necessarily new business that we brought on due to ACA as far as bringing the client on in its entirety. But as far as current clients that had adopted ACA, as well as new onboarded clients that had the ACA module. I forget the exact number but I want to say it was around $800,000 maybe for third quarter, that's well down, fourth quarter obviously was a lot stronger and we did apply a percentage to that which I would have to check with to give you that exact number.
John DiFucci: Okay. And did you see - do you think you saw any Pull Forward in the third quarter of last year. I'm just trying to look at year-over-year comps and listen looks good but it doesn't - it's not the kind of I guess the kind of beat that I think the people have come to expect from you.
Chad Richison: I mean we’ve had - we obviously last year we had some – what I’m going to say are positive surprises. I mean anytime you're bringing a half to half product which I believe ACA was our enhanced version. Anytime you bring a half to half product to market especially to a current client base, there is not a long backlog on that, I mean you're able to sell the clients and set them up and began bailing within two or three days versus the pipeline and backlog you get from selling new business. So we didn't have a lot of insight into exactly how much of that business we would be onboarding and what exactly the uptake would be and how immediate it would make an impact. And so the first thing I would say about that revenue over achievement about maybe what have been our guide last year, so we've some positive surprises that began bailing immediately. The second I would say is so much of our new business onboarding it does depend on when a client starts within the quarter something that we've explained before the client starts at the beginning of the quarter, we’re going to receive 100% of total revenue opportunity for that client and if that client starts in the last month or last two weeks of a month in which obviously we've received a proportionately smaller portion.
John DiFucci: I'm sorry Chad so you think in this particular quarter was it more backend loaded as far as when you started?
Chad Richison: I saw this quarter as a great quarter obviously we're tracking new business sales week-to-week here and I really didn't see anything that would cause me to want to go in and look to see exactly when a deal started when, I’m just more explaining that from the standpoint of guidance over achievement. We had a lot of positive surprises, I mean 98% of our revenues recurring so we do have pretty get insight into subsequent quarters. Often times the outperformance especially some of that that we achieved last year in the fourth quarters where we had just began to initially build for ACA. Those were positive surprises and they were positive to the extent that not only they were sold but they began bailing immediately.
John DiFucci: Okay. And I'll just - I guess - I can help but try - I know you don't give that anymore but did it grow this quarter or it could decline given how strong the compared with last year?
Chad Richison: It's not something that we measured. I mean we kind of shot that and buried it. But it is something that we definitely - we track book sales every week, we've sales organization of weekly quote, as weekly achievement and we've continued to drive that.
John DiFucci: Okay. Thank you.
Operator: Your next question comes from Raimo Lenschow with Barclays. Your line is open. Again Mr. Lenschow, your line is open. The next question comes from Mark Murphy with JPMorgan. Your line is open.
Albert Chi: Hi, congrats on the quarter. Chad and Craig it's actually Albert Chi on for Mark. Just wanted to ask, we're over at HR Tech earlier this month and the topic of legislation came up and ACA and FLSA have been well covered but do you see any other drivers on the horizon. And I know some of your peers recent within the ecosystem have been talking that maybe the equal employment compliance could be a driver next year, is that something that you're seeing on your end?
Chad Richison: Every year we do continue to see different legislation - legislative changes. It often times people focus on at the federal level and we do have a lot of those at the federal level but it is well as once people start rolling or once the Fed starts rolling new minimum out, you'll often times see states adopt different rates than what that Fed adopt. So I wouldn't be surprised if certain states increase the FLSA salary limit, as we've seen certain states increase the minimum wage, the federal minimum wage as parts for their state. So I think we'll see some of that. A year has never gone by that we haven't seen an incredible amount of legislation which would include not only the payroll tax calculation but also our labor law pieces which are included in your comment there.
Albert Chi: Got it. Thanks. That's helpful. And actually just a quick one on R&D which looks like it came up pretty nicely in the quarter. Are you able to talk or give us a little bit more insight into where those dollars are currently being spent and where you see them going maybe in the future. I know some themes that come up with newer, smaller module tend to be around predictive analytics and maybe addressing the millennial workforce, is that something that's on the roadmap? Thanks.
Craig Boelte: Well just kind of sticking with what we've done in the past, I definitely don't like to telegraph the things that we're working on primarily because we want sales reps out there talking about the products that we have today. We did point out that we did increase R&D this quarter quite a bit, 150% plus over the same prior year period. We've kind of be in low man on R&D spending even though we've had significant output but we want to continue to drive output. We have very lofty initiatives for our R&D Group, as well as outside of just innovation that we also have a lot of compliance that we definitely have to keep up with and we want to stay ahead of that. One specific is FLSA I think that companies that do are very good at working through with the FLSA toolkit are going to save them some money. Someone I think FLSA is easy to comply with is going to overpay their employees and so by managing that ongoing with the toolkit that's important, that's one of the items. And once you put out a product it is important to note, anytime we put out a product that's the beginning and you're going to continue based on user experience and feedback, you're going to continue to update those products and make them even stronger as well as expand. So I guess if I put it in three buckets up for you it would be at the continual ongoing compliance in both labor and tax. You’re going to have innovation of creating new products and then also you're going to have solidifying and going even deeper into the product sets that we have today and the R&D expense is all used towards that.
Albert Chi: Great. Thanks a lot. Congrats again.
Operator: The next question comes from Michael Nemeroff with Credit Suisse. Your line is open.
Michael Nemeroff: Hi guys, nice quarter, thanks for taking my questions. Just a couple ones, Chad can you just maybe comment on the sales office productivity this quarter was it in line with your expectations, and how were the newer offices ramping in terms of productivity?
Chad Richison: Yes, I mean definitely - the mature offices were definitely in line, I mean the new offices as we’ve talked in the past, they do continue to ramp. We've been a very consistent in how we announce new office openings and how we actually open them and we’re still very confident. We can get to 120 sales teams as we discussed across the U.S. The earliest we've ever opened up an office is February, and the latest is October. And right now our new business sales performance capacity with the current offices we’ve opened is greater than $260 million. So by new business performance capacity what I mean is the amount of new business of our - that our total sales teams could sell today if they were achieving top performance level. Now this doesn’t include any sales to current clients as far as up sells to current clients and it also excludes inside sales of small deals. I'm only talking about our outside sales force, which does represent the overwhelming majority of all of our sales. Now how we calculate the sales performance capacity. And how we calculated the $260 million is by reconciling our top performing office with the average sales performance of our top reps they went to President’s Club and then we multiply that by the number of territories that a team has. And so to that end we believe a top performing office can sell roughly $6.5 million in new business at performance capacity. So we’re working very hard on bridging the gap there and that is capturing the unachieved new business sales that exist in the space between actual sales achievement and a new business sales performance capacity. And so I guess the answer to your question is, yes. Our mature offices are doing well. We do believe that they could be doing better because we would like everyone to get to the top level. And we’ve still got new reps and new teams that we’re continuing to build up and improve that skill and we’re going to also increase capacity three ways, one is by product development, the others by sales skills and then of course opening new offices.
Michael Nemeroff: That’s helpful, Chad and that’s a perfect segue into my next question about the plan for new offices. What do you expect to end the year with and maybe if you can give us a little preview of how many do you plan to accelerate the number of office openings in 2017?
Chad Richison: Well, I mean just as we’ve done in the past, I mean when we want to make sure that we don’t have sales people thinking they’re relocating or managers thinking they’re relocating until the time of relocation. So we’ve never announced offices before we have signed leases and managers and reps ready to move to those locations. But what I will say is that anybody that would take my prior comments that lead them to believe that we’re not opening up offices next year, they would be wrong. We will be opening up offices next year. But I also wanted to point out, we have a significant amount of new business sales performance capacity right now that exists within our current group and we look forward to capturing that as well.
Michael Nemeroff: Okay, thanks for taking my questions.
Operator: The next question comes from Brad Reback with Stifel. Your line is open.
Brad Reback: Great, thanks guys. Just a really quick question from the balance sheet, client funds held seem to decrease sequentially, almost about $400 million or so? Any seasonal issues there or what caused that?
Craig Boelte: Typically on client funds, at the end of a quarter depending on what day that quarter ends, it could be that we’re holding a significant amount or at the end of the quarter is on a date that we’re not holding quite as much because typically those funds have to be remitted as early as a couple of days and as late as a couple of months. So you can have some seasonality just looking at the balance sheet. One thing we didn’t put in the prepared remarks, but we had around $660 million average daily balance on those funds sales. So we’re still holding a significant amount of client funds and we obviously look forward today where maybe we’re getting a little bit more on the interest side on those.
Brad Reback: Perfect. Thanks very much.
Operator: The next question comes from Mark Marcon with Baird. Your line is open.
Mark Marcon: Thanks for taking my call. I’m wondering when you think about the sales performance across the various regions were there any areas that really stood out that you could denote?
Chad Richison: No, I would not say that. I think you have your usual suspects and then you continue to have new offices that are maturing. I would say often times the measurement of how an offices is going to do is really dependent upon the person that’s leading that office or the manager, not necessarily the geography. I think I pointed out last year our top reps sell $1.7 million and she was here in the Oklahoma City. We had two other reps sell $1.6 million. And again when I am talking about new business sales performance capacity we’re choosing numbers below that because if you take 1.7 or 1.6 multiplied by eight you’re going to get up to $13 million and that’s not what we believe our current sales performance capacities is at.
Mark Marcon: Great and then Chad, you’ve always talked about you’re not to open up sales offices until people are ready. How would you judge the ability to open up additional sales offices and perhaps it’s helpful also to discuss like, okay, well you open up more offices having it impact more than just the office that’s opening, you’re also impacting the old office as well?
Chad Richison : Yes, that’s correct and so just as a reminder, we take a successful manager that’s currently with us, we relocate to a new geography or an existing geography where we’re creating a new territory and then we backfill them with a sales rep who is now ready to lead and be a manager. The more offices you have, the more opportunity you have not only to move managers who are ready, but also the backfill of those and we continue to grow the skill set of that. As we’ve done, I mean we’ve opened up I think 16 offices in the last 30 months, last 31 months so which has been significant. But also there is a gap there. You don’t want your sales performance capacity as far as what they are able to sell and what they’re actually achieving, you don’t want a major gap in that and not saying our gap is major, but we do see a gap. And when we do a good job of closing that gap as we’ve been doing this since 2005, I mean this isn’t a new way that we manage sales. But as we close that gap we actually increase the performance of the overall sales organization. And so we’re not going to do anything that’s going to negatively impact our current trajectory. So to that end we will be opening up offices and we’re also going to be focusing on increasing the skill set as well as the performance of the reps we have hired right now.
Mark Marcon: Great, thank you.
Operator: The next question comes from Jim MacDonald with First Analysis. Your line is open.
Jim MacDonald: Yes, good afternoon guys. Chad what are you seeing out in the market and the economy or any uncertainty around the elections that changed at all?
Chad Richison : I can’t really comment to that. I think I said this in the last call. I mean we either going to have more legislative changes or a lot more legislative changes. I mean every year that goes by, we had something and every time they try to fix something, it gets two or three times worse or there is something else we have to deal with. And so anytime something that’s new, there are changes. And so I see changes regardless. It’s not our job to say whether or not we agree with the changes one way or the other. It’s our job to develop them to able to put them out for the client so that they’re able to utilize them to make minimal impact on their overall cost, and we’re geared up to do that.
Jim MacDonald: Okay, and then I saw the sales and marketing expense grew 23.1% I believe in the quarter, which is lower than it has been. Is there any particular reason for that?
Chad Richison : The sales and marketing it’s going to grow, but we’re going to see efficiencies kind of throughout the organization both in the sales and marketing as well as in the G&A figure. You got to remember the sales and marketing includes, it has several components. It has salaries, commissions, marketing, it has office space, and other things. So if look at the offices that we opened this year, some of those fixed costs are lower than what we’ve had in some of the other where we were going into New York or LA or San Francisco. So you’ll see some there. As well as in the marketing area for example we attended the HR Tech conference this year and that’s the same conference we attended last year. But we didn’t attend 40% more conferences in the third quarter. So we’re going to see some efficiency there. And then just on the G&A line, we’re going also see some in terms of the last year was a first year being SOX compliant. So back half of the year, we had some costs associated with that and now we’re more on a kind of on a maintenance level on that so.
Craig Boelte: I might also ducktail off of that that one thing that we are also seeing with the new rep influx that we brought in with opening out the new offices. The new reps are selling the new rep sell and when they receive a commission, it is half the amount of an executive rep. Additionally, we did increase the amount that a new rep has to sell to become an executive rep and so we do have reps that stay at the lower commission longer. I think all of that might contribute somewhat to the number you’re talking about.
Jim MacDonald: Okay. Great, thanks.
Operator: The next question comes from John Byun with UBS. Your line is open.
John Byun: Hi, thanks very much. The first question I had was regarding the FLSA. Did you see any increasing activity around the government compliance module or the time and attendance in terms of maybe more employees being applied to their product?
Chad Richison : Yes, so from a government compliance piece as we bring on new clients that’s a very popular product for us already. And so FLSA was folded into government compliance and so clients already receive that. I would point I guess what we’re getting the most activity as it relates to FLSA is really the webinars. I mean the webinars we’re putting on for FLSA are doubling those same webinars that we put on for ACA. So I do think there are people still somewhat late to the party on gaining compliance with FLSA up until about I think a month about, maybe three weeks ago. They really felt like they were going to be able to kick the can down the road a little bit into next year and maybe stay off compliance for a little bit. It doesn’t look like that’s happening. It looks like it’s go forward now December 1. So we’re continuing to have those conversations and go through both the education side as well as the analytical side to be able to determine what exactly our clients going to do in the offset and then how they’re going to manage it on an ongoing basis, because that’s extremely important that they do manage it on an ongoing basis to make sure that they’re paying the minimum amount that they need to pay.
John Byun: Okay, that’s helpful. And then second question, obviously a lot of confusion among investors with ANRR. Is there anything you can talk about in terms of the pace of new deals or new business in the quarter?
Chad Richison : Only to say that I haven’t seen any change in characteristic as far as what a client would buy this quarter versus last quarter or the one prior to that.
John Byun: Okay great. And then last one for Craig. So the stock-based comp was little larger this quarter and I think it may be related to some RSUs vesting, but could maybe just give us a quick estimation since it was a pretty big jump? Thanks.
Craig Boelte: Sure. We had some performance RSUs that vested this year and as I mentioned under the new rules on the tax side we were able to gain some benefit to add on that on our GAAP earnings per share. It had no impact no impact on non-GAAP earnings per share. So that’s really what happened. Moving forward our stock-based comp, I think for fourth quarter, we’re estimating it around 3.5 assuming, but we still have some performance RSUs out there. So that’s kind of the level it’s expected to go to.
John Byun: Thank you.
Operator: The next question comes from Raimo Lenschow with Barclays. Your line is open.
Raimo Lenschow: Thanks for that earlier, I had a technical problem. Chad, can you talk a little bit about on the sales force productivity side and main driver for the group we’ve seen is basically the existing officers seem to be selling better. We hear stories about some of your sales guys kind of making some really big number or selling some really big number. Can you talk a little bit about how you see that evolving over time? And then also has there been an impact for you since you are a public company terms of the hiring and the quality of the people that you are getting? Thanks you.
Chad Richison: Yes, so definitely one leads to the other. I mean if you’re hiring quality people that are ready to go to work and learn, we’re going to have a great success with that. I’ve pointed out before that you know our executive reps we’ve very, very strong retention rate with them, better than 90% and then I've also pointed out before that you know when we lose people we're losing them before they achieve executive reps status and we've identified that it's extremely important to get those people to executive reps status as quickly as we can were very focused on that. By doing that, that does increase what an office can sell because you have more reps selling it at larger numbers versus the traditional sales model where your top reps can be carrying a larger load of proportionately than the others. And so, again this is something that in different patterns of our sales career. We go through with being able to increase ourselves capacity by gaining efficiencies through those new reps by implementing skills that allows them to get there quicker we’re very focused on that right now. But you're right we have been continuing to increase our number based on the success of the mature offices and that's not different today and it was indifferent to this quarter but we definitely do see an opportunity to ramp up these newer offices.
Raimo Lenschow: Perfect. Thank you.
Operator: The next question comes from Ryan MacDonald with Wunderlich Securities. Your line is open.
Ryan MacDonald: Hi guys, congrats on a great quarter. First of you talked about in your remarks that, that obviously the FLSA does not have any I guess impact in terms of - from revenue perspective as its bundled - governance and compliance but I guess can you talk about if in terms of the conversations or the pace of business, can you talk about if you’re seeing any or have seen or are seeing any Pull Forwards and new customers signing on as a result of trying to get onto the platform so they can ahead of the time, ahead of the December 1 date so, they can take advantage of the FLSA toolkit.
Chad Richison: I haven’t and I would say similar to ACA, I definitely don't think and I said this about ACA too, I definitely don't think someone chooses Paycom just for the FLSA toolkit or just for ACA it's for the overall value proposition that we put out there that needs to resonate as far as what they're going to do with turning data and information. And so yes, I wouldn't be able to comment say we’ve seen Pull Forward in starts. I think the one comment I made last year based on Pull Forward was those people that would've started in January of 2016 that Pull Forward in December for the sole purpose of gaining compliance for the 2015 but that was really a but again those clients didn't necessarily use us for the ACA alone.
Ryan MacDonald: Got it. And then when you talked about I think one of the client example that, I think was the staffing company was over 2000 employees and they were using initially an in-house systems and switched over to Paycom. Is this sort of - are we seeing at all a shift and sort of sales strategy and I know typically Paycom is focused on customers that are already outsourcing the solution or as was this more of just one off circumstance there?
Chad Richison: Well, we are definitely having more prospects at the upper end, reach out to us. We really target companies that are acclimated to the process through using one of our competitors and is our goal to get out there and get them to shift to us. It is often times that people research out there who would be a company to use for their employee size we pop up and they give us a call and so, that does happen more and more but still from a proportionate level I would definitely say that, our business was coming from companies that currently use one of our vendors and still half of that comes from companies that use the largest vendors out there so.
Ryan MacDonald: All right, thank you very much.
Operator: The next question comes from Ross MacMillan with RBC Capital. Your line is open. 
Ross MacMillan: Thanks very much. I have two questions and just one first for Craig on the gross margin. It was down year-over-year and I think the guidance for the full year implies it's going to take down a little more in Q4. I was just curious as to what the puts and takes on higher cogs are relative to revenue.
Craig Boelte: Sure. Our gross margin for the quarter was slightly lower than last year like 1% but typically when we mentioned this on previous calls, we have to hire ahead of the revenues. So we have some people on the bench, ready to take on that revenue so, we see the margins getting too high it may be that our staffing levels on of the level that we need them to be but we really in the past we’ve said, some at 82% to 84% and that's really what were looking out for the full year and I really were this quarter ended.
Ross MacMillan: Great. And just on - I’m just thinking through the shape of the next couple of quarters where you had - your record bookings in Q4 last year and then you had a really big Q1 revenue of '16 in part driven by those bookings which obviously include about one time boost from ACA filing. So, just as we think forward would it make sense that, that sort of March comp is the kind of toughest comp and that will probably be a - I know you're not going to make sure that will probably be like a revenue trough that we could start to build off. Just trying to get a sense for the shape of the next couple of quarters. Thanks.
Chad Richison: Yes, I mean past fourth quarter we haven't provided any guidance, what I can tell you is that the revenue profile as far as what we build for first quarter of next year and how we build forms and what have you will be the exact same as how we’re going to do it this next time so, the revenue would react the same but as far as the other questions we haven't guided anything for 2017 yet. Keeping in, but what we've done in the past, we've always given that guidance with the - with fourth quarter results. 
Ross MacMillan: Understood. Thanks so much Chad, thanks Craig. 
Operator: There no further questions at this time. I'll turn the call back to the presenters.
Chad Richison: I'd like to thank everyone for joining us on the call today. We will be representing at the UBS Global Technology Conference in San Francisco on November 15. Then the Credit Suisse Annual Technology Conference in Scottsdale on November 29 and the Barclays Global TMT Conference in San Francisco on December 7. We hope to see many of you at these events over the next couple of months and thank you for your interest in Paycom. Bye.